Operator: Greetings, and welcome to the Innovid Third Quarter 2024 Earnings Call. At this time, all participants will be in listen-only mode. The question-and-answer session will follow today’s formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It’s now my pleasure to introduce, Lauren Hartman with Investor Relations. Thank you. You may now begin.
Lauren Hartman: Thank you, operator. Before we begin, I’ll remind you that today’s call may contain forward-looking statements and that the forward-looking statement disclaimer included in today’s earnings release available on our Investor Relations page also pertains to this call. These forward-looking statements may include without limitation, predictions, expectations, targets, or estimates regarding our anticipated financial performance, business plans and objectives, future events and developments, changes in our business, competitive landscape, technological or regulatory environment and other factors could cause actual results to differ materially from those expressed by the forward-looking statements made today. Our historical results are not necessarily indicative of future performance, and as such, we can give no assurance as to the accuracy of our forward-looking statements and assume no obligation to update them except as required by law. In addition, today’s call will include non-GAAP financial measures, including adjusted EBITDA, adjusted EBITDA margins, free cash flow and net cash. We use these non-GAAP measures in managing the business and believe they provide useful information to our investors. These measures should be considered in addition to and not as a substitute for our GAAP results. Reconciliations of the non-GAAP measures to those corresponding GAAP measures, where appropriate, can be found in the earnings release available on our website and in our filings with SEC. Hosting today’s call are Zvika Netter, Innovid’s Co-Founder and CEO; as well as Anthony Callini, Innovid’s CFO, both of whom will participate in the Q&A session. I’ll now turn the call over to the Zvika to begin.
Zvika Netter: Thanks, Lauren, and welcome everyone to our 2024 third quarter earnings call. Today, I’ll review our third quarter results and provide an update regarding ongoing strategic initiatives and progress in the market. I’ll then turn the call over to our Chief Financial Officer, Tony Callini, who will provide further details with respect to our Q3 results and full year 2024 outlook, followed by Q&A. Revenue for the third quarter grew 6% year-over-year to $38 million. I’ll explain the drivers momentarily. We continue to focus on driving revenue growth, while expanding margins. Adjusted EBITDA grew 29% to $8 million, and a 22% adjusted EBITDA margin this quarter. CTV ad serving and personalization revenue led the quarterly growth with a 12% year-over-year improvement and CTV share of total video impressions reach a new record high of 58%. We’re encouraged that the CTV numbers continue to increase, which gives us confidence in the future growth prospects of connected television. The growth we’re seeing in CTV is fueled by the continuous shift of our clients’ budget from linear to connected TV, and by more ad-supported platforms existing and new gaining scale. While we saw strong CTV growth, this growth was asserted [ph] by lower mobile impressions, which were down by 2%, and desktop video impressions, which were also weaker than expected, up only 5%. Total revenue by the third quarter came in below our expectations as a result of three main factors. First, when inflated demand for media in the market, driven by the influx of political ads for the U.S. election, many brands loathe their ad spending during this period, and at a greater than anticipated rate. Since our customers are brand, and not political advertisers, brand spending softened up to the election due to political dollars crowding out the traditional spend. There were more dollars that were spent in this election cycle than ever before. This pressured our growth this quarter, and was the primary reason for the slower revenue growth. While the election cycle now behind us were anticipating more normalized ad spend moving forward, although we still expect to see some effect on our fourth quarter and full year revenue. Second, we also saw slower than anticipated growth in the cross-sell of additional products to our clients. While we have driven broader product adoption with a number of large global brands and publisher, this happened at a slower rate than expected. Accordingly, our measurement offering delivered 1% growth this quarter. We remain confident that we are well positioned to drive enhanced value for our clients, and have taken complete steps to address our growth objectives take into account these factors and controlling what we can. We are actively realigning the sales organization and overall go-to-market strategy to take better advantage of the cross-sell opportunity, and accordingly, we expect to see an improvement in our cross-sell motion in the coming quarters. Lastly, we have multiple layers of service available on top of our technology, depending on how much support the client needs. As we invest in AI and workflow automation, we’re seeing an increase in the number of clients that are leveraging our technology directly without an additional service layer. The software-only model has both favorable unit economics and is a way for us to extend our reach to smaller advertisers, as this lower price option is an attractive alternative. In the third quarter, adoption of this offering accelerated, and impressions from those using our platforms without an additional service layer were 50% over the same period last year. While we expect some near-term revenue pressure from this ongoing mix shift, a software-only offering inherently has a better margin and is one of the reasons why our profitability was strong this past quarter. We believe having flexibility in our offerings that meet the various needs of the market is a strategic differentiator, especially considering Google’s antitrust lawsuit and the uncertainty it brings to its customers. We are pleased to have a suite of offerings that can support a broad range of clients. We expect each of these three revenue headwinds to persist in the fourth quarter and, therefore, we have brought down our full year revenue guidance accordingly, but we remain encouraged by our long-term opportunities and the growth of our core CTV product. The overall CTV market has significant room for expansion, and we have strategically positioned innovate to capitalize on its expected growth. As mentioned earlier, CTV video impressions have now reached 58% of all video impressions, and we expect that number to continue to increase. Additionally, there are strong industry trends that are working in our favor, including the increasing number of ad-supported streaming platforms, growing viewership, and the expected shift of live sports from linear to CTV, not to mention the increased number of partners in our Harmony initiative as a discussed momentary. We fully expect that revenue growth will re-accelerate in 2025 as we execute on several key initiatives, including cross-sell go-to-market enhancement, Harmony adoption, and continued development of strategic partnerships. These initiatives should drive more normalized top-line growth and set the stage for stronger performance. In addition to the CTV growth this quarter, I am proud of our improved operational profitability, adjusted EBITDA with 29%, hitting the higher end of our guidance, and adjusted EBITDA margin expanded to 22%, up from 18% in the prior year. As we shared previously, our business model is scalable, and efficient at its core. Importantly, the team has delivered margin expansion even in a lower growth environment. As market conditions improve and our revenue growth re-accelerates, we expect to see a continued increase in profitability and remain committed to our long-term goal of surpassing 30% adjusted EBITDA margin. As part of our continued drive for operational efficiency, we are expanding the implementation of AI into innovative platforms. Over the last couple of quarters, AI has been implemented into our workflow, supporting faster and more seamless ways to create, monitor, and ensure quality of campaigns. The implementation of AI is already starting to pay-off, and it’s having a positive effect on operational efficiency. Now, I’d like to share some additional highlights from the quarter. First, we signed new clients and expanded our relationship with leading brands such as Toyota, Dollar General, IPB, American Signature, AbbVie, among others. We also launched and expanded our partnership with Netflix, one of the world’s largest streaming services. As Netflix rolled out its ad-supported tier, Innovid was selected as one of the two partners for impression verification within Netflix ad-supported platform. This allows our clients to activate their Netflix campaign while leveraging the Innovid platform. We look forward to continuing to work closely with Netflix as they grow their ad-supported business and build their technology further to benefit advertisers. This new partnership with Netflix is a testimony to the strong industry position Innovid holds and to the critical infrastructure we provide to key players in the market. This collaboration not only amplifies our visibility. It also increases the number of ads we can serve as major ad-supported platforms like Netflix gain scale. Additionally, last quarter we announced our planned strategic collaboration with Nielsen, a global leader in audience measurement. Nielsen is integrating innovative workforce solution in Nielsen ONE with the aim of providing seamless workflow and holistic view of the cross media ads universe. We’re working together on defining and building the optimal path to provide the industry with a complete comprehensive measurement offering and are pleased with the progress underway. Early this year, we launched our strategic Harmony initiative with a goal to optimize CTV advertising at the infrastructure level. We’ve been focused on expanding Harmony’s adoption and launching new capabilities under the Harmony umbrella. We recently announced that LG Ad Solutions is the latest partner to join the Harmony initiative, joining other top CTV platforms such as Roku and Vizio. The agency PMG, an early adopter of Harmony is also warning us our Harmony Direct Solution across its full portfolio of clients. In July, we launched our harmony frequency solution in beta and we have already seen clear evidence of its effectiveness. Initial Harmony frequency campaigns that were launched with DSP partners, and some of the world’s largest advertisers revealed a reduction of over 50% in audiences who were overexposed to the same ads. These initial results have several market defining implications. First, the ability to manage frequency over different publishers and media execution types can meaningfully reduce media waste for advertisers. Second, limiting the number of times that a viewer sees the same ad creates a better viewer experience for streaming services subscribers. We’re delighted to lead the charge in shaping the future of TV advertising and to be recognized for it. During the quarter, Innovid won 2024 AdExchanger Award for Most Innovative TV Advertising Technology for the Harmony Initiative. I want to thank our partners, clients, and team for their innovation and efforts to make TV better. In summary, I am proud of the team for delivering another quarter of growth while expanding margins, despite a more challenging environment. Our team is continuing to develop strategic partnerships and products to create an open and thriving CTV market while expanding operational profitability and increasing margins. We anticipate continued CTV growth. And as we exit the U.S. election cycle and focus on more effective cross-sell go-to-market motions, we expect to see revenue growth improvement and continued expansion in our business. Finally, our executive team and Board of Directors remain confident in Innovid’s long-term strategy and growth potential. And, today, we are announcing a stock repurchase program reinforcing our commitment to delivering both short- and long-term shareholder value. We do not believe our current stock price reflects the value of our business today or its long-term prospects. Rather, we expect that the combination of our financial position, highly differentiated product offering, market expertise, and strategic investments will allow us to enhance shareholder value in the quarters and years ahead. With that, I’ll ask Tony to take us through the numbers and provide some insight into Q4 and full year expectations. Tony?
Anthony Callini: Thank you, Zvika, and good morning, everyone. In addition to the operational progress, revenue growth, and notable partnerships that Zvika just shared, we’re also pleased to report another quarter of solid bottom-line performance. Our focus on profitable cash generating growth resulted in the 9th straight quarter of adjusted EBITDA margin expansion and 7th consecutive quarter of generating cash from operating activities. As we’ve highlighted, Innovid’s business has a highly leverageable operating model, giving us the ability to deliver healthy free cash flow and expanding margins. And during these times where we experience weaker ad spending, our ability to continue to grow the bottom-line at a significantly faster rate than the top-line remains strong. Now, let’s dig into the numbers. Third quarter revenue grew 6% year-over-year to $38.3 million. Breaking that down further, ad serving and personalization revenue was up 7%, while measurement revenue grew 1%. As a percentage of revenue, ad serving and personalization made up 78% of the total, while measurement accounted for 22%. Ad serving and personalization is heavily influenced by continued healthy growth in our core growth driver, CTV video impressions. CTV revenue from ad serving and personalization grew 12% over the third quarter of 2023, while impressions grew 13%. As a percentage of total video impressions, CTV continues to represent a bigger piece of the pie at 58% as compared to 55% in the third quarter of 2023. In fact, 58% is the largest share to date for CTV video impressions of total video impressions. As we see the CTV share grow, we expect our results to represent more of a convergence of CTV growth and overall top-line growth. As we’ve seen in the past number of quarters, inconsistent growth in mobile and desktop impressions continue to mute our overall growth as they typically lag CTV impressions. In Q3, mobile video volume declined by 2% and represented 32% of all video impressions, while desktop volume increased by 5% and reflected 11% of all video impressions. Going forward, we’d expect to see similar trends, with CTV growing consistently and ultimately accelerating, and mobile and desktop being less predictable. As Zvika mentioned, one additional positive trend we’re seeing is expanded interest in our software-only offering. We provide this alternative for customers to utilize our ad serving platform, while managing the campaigns themselves. While naturally we charge a lower fee for platform-only access, our unit economics improve, which supports further margin expansion. Currently, about a quarter of our ad serving revenue is on the service-free model, and we’ve seen that increase by about 30% since the beginning of the year, which is a more rapid transition than we anticipated. While this migration put pressure on our revenue growth this quarter, it’s also one of the drivers behind our ability to deliver improved profitability, as well as expanding our potential customer base going forward. We expect that trend to continue into 2025, as we see this as a continued opportunity to meet our clients where they are and drive margin expansion along the way. Moving to measurement. Measurement revenue growth has decelerated throughout 2024 and while our measurement capabilities are a key part of the Innovid platform, we’re not achieving the same cross-sell execution that we believe is achievable. Zvika touched on the steps we are taking as measurement continues to be a key part of our growth thesis. With the benefit of a revised and focused strategy, we expect our unique ability to combine creative, delivery, and measurement solutions to be a catalyst for reaccelerating revenue growth. Stepping back and looking at overall performance in Q3, while revenues fell short of expectations, the underlying fundamentals of the business remain strong. We remain focused on expanding profitability and driving free cash flow, while we manage through a challenging macro environment. We continue to have conviction in the inevitability of outsized growth once more brands shift spend to CTV driven by all the factors Zvika referenced earlier. Now, moving on to costs and expenses. Revenue less cost of revenue calculated out to 78% of revenue which was consistent with Q3 last year. As we include more automation and AI into our offerings and experienced growth in our software-only model we expect to see incremental margin expansion. Q3 total operating expenses excluding depreciation, amortization and impairment totaled $27.9 million, an increase of 2% from $27.4 million in the same quarter last year. Employee count at the end of September was 461 as compared with 460 at the end of Q3 2023. We remain committed to managing our cost base effectively to drive improved growth and profitability, and generate long-term value for our shareholders. Pre-tax operating loss of $1.2 million in Q3, improved 71% as compared to a pre-tax operating loss of $4 million in the same period last year. This improvement was driven by a larger percentage of revenue growth converting to earnings as well as lower depreciation and amortization expense. We recorded a tax benefit in the quarter of $5.8 million, primarily related to truing up our full year effective tax rate for the revised full year outlook. Our effective tax rate continues to be volatile as we are still reserving tax assets in evaluation allowance and our pre-tax income is relatively low. That said, cash taxes in the quarter were about $500,000. Q3 net income increased to $4.7 million or per share earnings of $0.03. This compares with a net loss of $2.7 million and a per share loss of $0.02 in Q3 2023. The outstanding common share count at September 30 was 147.8 million shares. Adjusted EBITDA in the third quarter was $8.4 million, a $1.9 million improvement or 29% increase as compared to $6.5 million in Q3 last year. As I mentioned earlier, this is the 9th consecutive quarter of year-over-year adjusted EBITDA margin expansion, as our margin improved to 22% this past quarter as compared to 18% last year. These improvements reflect the impact of sustained revenue growth, lower cost of revenues as a percentage of revenue and operating costs that grew nominally over the prior year, demonstrating the leverage inherent in our operating model. I will now turn to the balance sheet and cash flow. We ended Q3 in a solid financial position and our balance sheet has never been stronger. At September 30, we had $34.6 million in cash and cash equivalents on hand, with no outstanding balance on a revolving debt facility. As a reminder, we have $50 million available on that facility. On a net cash basis, or to say it another way, cash and cash equivalents less outstanding revolver balance, the $34.6 million on hand at the end of Q3 2024 is a 25% improvement as compared to the $27.7 million of net cash at the end of Q3 2023. During the quarter, net cash provided by operating activities was $6 million and free cash flow was $3.7 million as compared to $4.1 million of free cash flow generated in Q3 2023. If we look at free cash flow on a trailing 12-month basis, we have seen an improvement of $12.1 million as compared to the same 12-month period ended September 30, 2023. I’ll now touch on our outlook for the fourth quarter and provide an update for full year 2024 expectations. We are proud of our ability to continue to execute in an uncertain environment and are confident in the underlying strength of our business and in our ability to grow revenue profitably. We remain committed to our long-term financial target of 20%-plus annual revenue growth and 30%-plus adjusted EBITDA margin. That said, due to the specific factors that Zvika shared, primarily pressuring Q3 and early Q4 from political ad spending and muted cross-sell activity, as well as the trend towards software-only offerings, we are lowering our full year revenue expectations. At the same time, given the strong profitability performance in Q3 and continued focus on operational efficiency, we are reaffirming the top end of our adjusted EBITDA guidance, and raising the lower end of the range, thus materially increasing the expectation around adjusted EBITDA margin. As a result, in the fourth quarter of 2024, we expect total revenue in a range of $37.5 million to $39.5 million, which would be flat with Q4 2023 at the midpoint. We expect Q4 adjusted EBITDA in a range of $8 million to $10 million, as compared to $8.3 million in the fourth quarter of 2023. For the full year, we now expect total revenue in a range of $150.5 million to $152.5 million, representing 8% year-over-year growth at the midpoint, and adjusted EBITDA between $26.7 million and $28.7 million. While it’s a bit too early to get into specifics on 2025 guidance, we see a resumption of more normalized growth next year after a slower second half of 2024. As Zvika mentioned, there are several secular industry trends that we expect to work in our favor, pushing brands towards a CTV first ad strategy as well as expected improvements in our cross-sell opportunities, partially fueled by market adoption of our Harmony suite. And as these growth drivers don’t require incremental investments, we expect a continuation of margin and cash flow improvement throughout 2025. Finally, a word on capital allocation. As Zvika mentioned, our Board of Directors has authorized the company to implement a stock repurchase program of up to $20 million. Subject to the final terms of the program, it’s expected that repurchases will be dependent on market conditions, regulatory requirements, and other considerations. This program is not expected to obligate us to acquire any particular amount of common stock and may be modified, suspended, or terminated at any time at the discretion of our Board of Directors. And the company may decline to move forward with the implementation of any repurchase plan. We are focused on generating value for our shareholders, and we and our Board currently believe a share repurchase program both effectively returns capital to our shareholders and demonstrates our conviction that the current share price does not reflect its true value today or over the long-term. We will continue to deploy our capital in ways that we believe will result in the best return on investment and creation of long-term value for our shareholders. We remain confident in its underlying business fundamentals and the long-term secular market dynamics that we expect will drive outsized CTV growth. In the meantime, we are focused on providing exceptional product offerings to our clients, expanding operating margins, and driving free cash flow generation, putting us another step closer to achieving our long-term targets. We will continue to mindfully invest in long-term sustainable growth, while efficiently managing our cost structure and strengthening our financial condition. This concludes our prepared remarks. Zvika and I are now happy to take your questions. Operator, please begin the Q&A session.
Operator: Thank you. We’ll now be conducting the question-and-answer session. [Operator Instructions] Thank you. And our first question is from the line of Matt Condon with Citizens JMP. Please proceed with your question.
Matthew Condon: Thank you for taking my questions. My first one is just on understood the crowding out due to political spend in the quarter. Was there any change in the competitive environment or any change in customer behavior that you noticed or any verticals that you would call out that were particularly weak?
Zvika Netter: Yes. I mean, in terms of competitive environment, there was no change. What we saw this election cycle, the estimations are that the investment in TV advertising and CTV advertising, specifically in CTV advertising for political grew 500%. We definitely saw a heavy investment from political advertisers. And since Innovid worked with large brands and not – we don’t run political ads, that pushed some of the large brands, the very large brands out kind of the weighted out this. Specifically, we saw a drop in CPG, financial services from that perspective. But I would say argue that most brands pulled back during this time. And in terms of – your question, in terms of the competitive environment, no. There was nothing, there’s no specific changes either to products in-market, pricing, no significant churn out of the order, nothing that it’s pure volume shift due to the political.
Matthew Condon: That’s very helpful. And then my second one was just on, obviously, the slower than anticipated cross-sell and the subsequent salesforce reorganization. Can you just talk about specifically what’s changing there? I guess what went wrong before and what’s the difference and what gives you confidence that that can accelerate the future? Thank you so much.
Zvika Netter: Sure, and you’re asking about the cross-sell?
Matthew Condon: Yeah, this is a salesforce re-organization just to facilitate greater cross-sell, yeah.
Zvika Netter: Yes, yes, yes, absolutely. So as we shared, we’re not seeing, we haven’t seen the momentum we wanted to see in the cross-sell. We believe we’re making, as I think we shared earlier in the year, that’s one of the number one goals in the sales organization and realignment, is to move the company from selling mostly the ad server to selling a platform sale that includes several products, including measurement, creative optimization, and recently Harmony. That motion, the organization was structured in a certain way. As we saw, we’re not seeing the results we aim to see. We believe in the strategy, we believe in the go-to-market, the way we’re structured and incentivized did not yield the desired results, and for that reason, we learned from that and made changes. We believe we have a great suite of products that work very well together, and we believe in the strategy, so it’s more about how do we execute it, and we made some necessary changes and believe that we will see the results coming in next year.
Matthew Condon: Great. Thank you so much.
Operator: Thank you. Our next question comes from the line of Matthew Cost with Morgan Stanley. Please proceed with your question.
Matthew Cost: Good morning. Thanks for taking the question. I guess just mechanically, when we think about the impact of political rolling off from 4Q to 1Q if we just sort of isolate that. How much of an uplift in quarter-on-quarter growth, your year-on-year growth, should we expect to see as we sort of exit this political cycle fully the beginning of next year, and see the big brands reengage? That’s question one. And then the second question is just, obviously, you’ve raised the midpoint of EBITDA guidance, so showing a lot of discipline on the cost side, which is great to see. I guess where are you prioritizing investment right now versus where are you looking for savings? Thank you.
Anthony Callini: Hey, Matt, this is Tony. I think I could take that one. So on the political ad side, I mean, this is definitely uncharted waters in terms of just the volume that Zvika mentioned before of money that poured into this election cycle. We’re a week out from it now. We’re happy to see there’s been a little bounce back. I don’t know, it’s probably premature to say, like, what normalization from this looks like. I think we’ll have to go to the rest of the quarter. But, we certainly have not seen this level of spend before and pull back from the brands. And, again, the brands are our customers and not the political advertisers. So, I think it’s one piece of essentially a number of drivers as we think about 2025. And as we could touch on a lot of those between Harmony and Nielsen being able to effectively cross-sell a bit better than we have. And so those are all headwinds. And then one of the things I call out is, as Zvika mentioned, an increase that we’ve seen in essentially our software-only service offering or software only offering without the service layer on it. And that’s something that we think is going to drag growth in the long-term. May have some near-term muting effects just on the kind of price arbitrage between the different service offerings. So it’s a combination of things. And, again, I think we’re pleased that we’ve seen a bit of a bounce back in the first week after the election, but it’s very early to tell what the ultimate impact of it is. That said, I think we continue to believe strongly in the ability to grow double-digits. Our long-term target still remains 20%. All the growth drivers, all the fundamentals that we’ve talked about before are the same. And as we mentioned, in the meantime, we’re focusing on driving profitability until we get some momentum on the revenue side. In terms of priorities on that profitability, I mean, we’ve said all along, I mean, this is just an inherently leverageable operating model. And, every incremental dollar comes in the union economics are really strong. And so, we always look throughout the organizations of ways to be more efficient. And I think that’s showing up in the numbers right now. And so, we’re pleased to see that and we’ll continue to focus on that. So, I don’t know that there’s one area that we’re prioritizing over another, just trying to be kind of mindful stewards of the business and making sure that we invest in the things that are going to drive value and not spend money on the things that are not.
Matthew Cost: Great. Thank you.
Operator: Our next question comes from the line of Laura Martin with Needham & Company. Please proceed with your question.
Laura Martin: Hey, good morning. The first one I wanted to drill down on this, I’ll call it the self-service product, what you guys are calling the software-only offering. Since you only work with the largest advertisers, wouldn’t all of them be incentive to take a cost, a lower cost product and just do it themselves through self-service so that this will actually be a headwind to growth for all of 2025, please?
Zvika Netter: Hey, Laura. We’ve seen – we’re definitely encouraged by this, I have to say, it’s an area we invested heavily in, we talked a lot in the past calls and meetings about AI, we’re happy to see that, so we invest. We believe that the future is what you call self-service. It’s a much more efficient model and we believe also scalable in terms of growth potential in the mid- and long-tail in terms of account size and also from a global perspective. And if we look at the situation with Google and the antitrust, we believe it’s a great timing. I wouldn’t anticipate it will grow so fast, but it’s a great timing to have that product ready in market and to see the adoption. To your question, some of the large brands, when they look for efficiency, it’s actually not – it doesn’t have to do with us as much as with the agencies. It’s the in-housing, their in-housing services and hiring employees to use the system. And in that case, and you saw the large growth, you are right that this is a trend. I wish we saw more of it, I have to say, what happened here is it grew faster than we planned. So in the short-term, it hit the top-line, but overall, we believe it can actually scale the top-line, while definitely scaling the bottom-line. So this is something that we’re seeing, and I wouldn’t put all the large brands in a single bucket. Some of them are still using outdated systems, not by Innovid, but other companies. So they’re not all acting the same, but those who are looking for additional efficiency and control, I think the key here is the control and the data that they want to have put their own hands on keyboard rather than the agency. We expect to see expansion of that. We don’t provide guidance yet, I have to say, we need to monitor this, how fast this will grow. But definitely this year, we saw an increase in usage, and overall, it’s a positive trend.
Laura Martin: Okay. Helpful. And then on Nielsen, that was interesting, your partnership with Nielsen, how does the money work there? How do you make money from your deal with helping Nielsen make a better product for them actually? So how do you make money from that?
Zvika Netter: Yes. So we haven’t shared, yes, the financial arrangement since what we announced is in our intent to partner on, let’s call it, a joint product, or basically us empowering their product with our technology, it’s something that we’re still exploring, how exactly to make this work. I don’t believe this is something that will generate revenue in Q4 this year. But basically, clearly, when we’re assuming this will develop into a product in market, you can imagine that we have a structure in place, which we already negotiated a structure in place in terms of how we make money out of it. It’s not going to be something that we hope to see, but something that’s contractual and is part of the revenue and the growth of the joint product, but still early days to say in terms of actually hitting the market and generating revenue.
Laura Martin: Okay. And my last one is on Google. Now that we have a new president, maybe this is moot, but 2 weeks ago I would have asked, if Google is, if [app that] [ph] is forced to sell off their ad tech business, is that better for you or worse for you if their ad tech business is separate standalone from their YouTube and search first-party business?
Zvika Netter: We believe that regardless where this goes and who’s the president, I mean, we know who’s going to be the president. Overall, the amount of focus that this case has brought, you can read it in the World Street Journal, New York Times, and things that we’ve been saying for 10 years about the importance of having an unbiased platform that is pure tech and not skewed by media bias is something we’ve been saying for day one, and we’re very happy that it, got all the way to the DOJ and to the press, that marketers, what the decision makers and agencies; agencies, I believe, knew more about this than marketers, but marketers are now way better educated about the challenges and risks that it has for them and overall the market. So, I believe the benefit is going to stay regardless if it’s going to split or not. I think even if it was split that that is something that’s taken many, many, many years. So I don’t think it’s anything that can happen even under a different administration any time soon. Overall, I think it’s a good thing that there’s attention to the ad server and the importance of the data and how the data could be used to potentially manipulate the outcomes. And we believe it’s something that more and more brands should understand the benefit of switching to innovate to an unbiased vendor to make sure that their data is in safe hands and it’s not being used in a way against them, against the bottom-line.
Laura Martin: Super helpful. Thanks very much. Thanks, Zvika.
Zvika Netter: Thank you.
Operator: The next question is from the line of Shyam Patil with Susquehanna. Please proceed with your question.
Aaron Samuels: Good morning. This is Aaron Samuels on for Shyam. Thank you for taking our questions. Maybe starting off, Zvika, with ad supported CTV offerings like Prime Video and Netflix scaling quickly internationally, can you refresh us on how you’re thinking about the international CTV opportunity and what Innovid is doing to make sure it’s well positioned in markets outside the U.S.?
Zvika Netter: Absolutely, and thanks for bringing this massive growth opportunity to the front lines. We kind of put this on the back burner a year or 2 years ago with the economy slowing down. Definitely – and CTV not being a major trend outside of the U.S., it’s clear that platforms like Netflix, Amazon, and Disney, I would say also, Disney Plus, all with premium content, all of them now offer an option to be ad-based on CTV, basically generate create markets, in markets where CTV did not have the Netflix, “phenomena to push people to use their smart TVs, not through broadcast, but actually connect them.” It’s literally that moment when you connect your TV to the Internet through the Wi-Fi and putting the password, that’s the kind of once you do that and you enter the App Store to install Netflix, you’ll install also other applications, maybe local applications, and by this increase the amount of money that’s moving from linear to CTV. So that’s a great opportunity. Our way of growth, we have a deep integration in the U.S. with Netflix – sorry, not just in the U.S., we can deliver ads into Netflix anywhere. Currently, most of our revenue is coming from global brands that are U.S.-based, so the large auto, large farmers, et cetera. We believe it’s a massive opportunity. We’re not giving guidance. It would be interesting to debate not on this call. It’s 2025, the year that the trends you mentioned with Amazon and Netflix pushing, they’re really going to create a massive market outside of the U.S. for CTV. It’s yet to be seen. From an infrastructure perspective, we’re already delivering every corner of the world except China. We’re streaming ads in every country, every corner across thousands of publishers already. The key is about really adopting the tools and the platforms, but by brands that operate outside of the U.S. The key will be having significant scale, enough scale to justify to move to Innovid.
Aaron Samuels: Great. Thank you. And then, Tony, maybe one for you on the margin trajectory. Obviously, the business is showing really nice operating leverage. In terms of the long-term target of 30% EBITDA margins, how would you say that you’re tracking against that? Any kind of color in terms of timeline here, is this something that we could see in the next 1 or 2 years, or is it maybe a longer-term target?
Anthony Callini: Yeah. No, great question. I mean, we’re tracking well against them. I think we’ve seen, I’ll call this that out again, because we do feel good about 9 straight quarters of margin expansion, a year-over-year margin expansion, 22% in Q3. And, I think in terms of the timing to how we get to 30%, a lot of it’s going to be based on the market. And, I think what we’re trying to do is manage the business the best we can in a market where the growth hasn’t been consistent. And what we’ve always said is that as we see growth, we’ll be investing behind it. And so that’ll continue in the future. And if we see an opportunity to kind of invest behind some growth and accelerate it, we’ll do that, and there might be some near-term margins will expand as past. And in quarters like this, where we’ve seen slower growth, that’s where we can really lean in. So, I think, it’s – I’m not trying to avoid the question. It’s really, we’re going to see the successes that we’ve had and the market adoption of CTV in general and kind of invest behind that. So, certainly this is something that we could see ourselves getting to in the reasonably near-term somewhere over the next couple of years. And if you just kind of take the trajectory of where we’ve been and how we’ve grown EBITDA as a margin percentage over the last year or so, we’d expect that to happen. I mean, we said 2025, we’ll give guidance when we do our Q4 results. But, we certainly see the opportunity to expand margins again in 2025, one step closer to that 30%.
Aaron Samuels: That’s really helpful. Thank you.
Operator: Thank you. At this time, we’ve reached end of our question-and-answer session. I’ll hand the floor back to Zvika Netter for closing remarks.
Zvika Netter: Thank you. We’re very proud to deliver another quarter of profitable growth, despite the underlying challenges. These results maintain our path to interjectory towards our long-term targets. Today, we remain well positioned to the exciting opportunity of CTV growth. And we’re taking the necessary step to reaccelerate our top-line growth. And I look forward to keeping all of you updated about our progress. Thank you very much, and have a wonderful day. Goodbye.
Operator: This will conclude today’s conference. We may disconnect your lines at this time. Thank you for your participation.